Anja Siehler: Thanks, Valentina. And also a very warm welcome from the Nordex team in Hamburg. Thank you for joining the Q4 2024 Nordex Conference Call. As always, we ask you to take notice of our safe harbor statement. With me are our CEO, Jose Luis Blanco; and our CFO, Ilya Hartmann, who will lead you through the presentation. Afterwards, we will open the floor for your questions. And now I would like to hand over to our CEO, Jose Luis. Please go ahead.
Jose Luis Blanco: Thank you very much for the introduction, Anja. On behalf of Management Board, I would like to welcome you here as well from Hamburg. As you know, I have assumed the role of Chief Sales Officer since Patxi decided to take on a new role within the organization. First, let me start looking back where we stand on our path towards profitable growth. Three years ago, we communicated our plan to becoming a profitable company. Today, I can proudly say that we have made solid progress since that moment. We have been able to weather volatile times of '21 and '22 with supply chain disruptions, high inflation and on top of a cyber incident with the support of all of our stakeholders, including you all and we have delivered a massive improvement. Over this period, our revenue grew by 14%, EBITDA margins recovered and stabilized. And we are now generating robust cash flow. This gives us a solid platform for the future and we hope to keep delivering further improvements in '25 and '26. Moving to the next slide, let me talk about our progress in 2024. In a nutshell, we met all our financial and operational targets, fully achieving our guidance. In detail, first, we had a record order intake in 2024, resulting in a record high order book of €12.8 billion and with strong momentum in both the service and the project business. Second, our service business continues to grow stronger with higher revenues and improved EBIT margins. Third, we have consistently improved both our absolute EBITDA and EBITDA margin throughout the year, ending with an exit EBITDA margin of 4.89%. And finally, in 2024, we achieved a robust free cash flow of €271 million and a net cash position of €848 million. Based on our financial performance in '24, we are reiterating our medium-term EBITDA margin target of 8%. Moving on operationally, I'm pleased to announce that Nordex remains the third largest onshore player worldwide in terms of order intake, excluding China. And this achievement reflects the solid and consistent performance of our sales and project teams over the years. In EMEA, we remain #1 for the third time in a row. In Americas, we have been able to improve our market share, mainly driven by the Canadian orders and we hope to improve our position further. Overall, this positions Nordex very well for the future. And let me come to the operational details on the next slide. 2024 was a year of record order intake with a very strong order intake of 3.3 gigawatts in Q4, overall order intake to a total of 8.3 gigawatts, a growth of 12% year-on-year. This corresponds to €7.5 billion in value and comes from across 24 countries. The strongest individual markets were Germany, Turkey, Canada, Spain, South Africa, among many others. Pricing continued to remain stable. ASP stands at €0.9 million per megawatt year-to-date, up from €0.84 million one year early. Without guiding for '25, we remain very confident on order momentum and expect our order intake to be better in '25 compared to '24. Moving on, on the back of a strong order intake in both segments, our total order book continued to grow with total of €12.8 billion. Thereof, the turbine order book increased by 13% to €7.8 billion in 2024 compared to €6.9 billion in 2023. Out of this order book, majority of orders will be installed in Europe, followed by North America, rest of the world and Latin America. On the service side, our order book increased by 37% year-on-year, reaching almost €5 billion by the end of December. This growth primarily reflects the expansion of our turbine business over the past two years across multiple regions, which is now contributing to the service order book. Additionally, portfolio effects and higher pricing have also played a significant role. So let's move to the service business on next slide. Key message here is that we are on track and margins keep improving as previously anticipated. Service revenue grew by 15% reaching €777 million in 2024. And as previously communicated, EBIT margins have started to improve and are on track to return to our normal margin levels of around 18% to 19% in the next 12 to 18 months. We expect our revenue to increase further at a healthy pace, driven by an expanding service order book with longer tenors and increased installation activities. Regarding other service KPIs, the average fleet availability was stable at 97% and the average tenor of the service contract increased to around 12 years. Our strength in service is also underpinned by being ranked as #1 for the fourth consecutive year in the Service Satisfaction Survey of the German Wind Energy Association. Let's move to the next slide to talk about installations and production figures. Installations of 6.5 gigawatts in 2024 are in line with expectations, down by around 8% compared to the previous year level. And this is mainly driven by customers' schedules. This reduction is primarily due to, as I mentioned, project schedules and minor customer side delays. Important, we did not experience any significant delays or liquidated damages beyond our normal operations. We installed a total of 1,227 wind turbines with the majority of installation occurring in Europe, followed by Latin America. On the production side, turbine assembly decreased by 5%, totaling 1,312 turbines assembled. Blade production increased by 17% with a split of 28% in-house production, 72% outsourced. And now I would like to hand over to Ilya to discuss with you financials.
Ilya Hartmann: Thank you, Jose Luis. And as always, I will guide us through our latest financial figures, starting with the income statement. 2024 was a strong year for Nordex, achieving €7.3 billion in sales compared to €6.5 billion in the previous year. And this is an increase of over 12%. The sustained momentum, especially in the last quarter was primarily driven by better priced orders, growth in our service revenues and increased activity levels in our factories as mentioned by Jose Luis. Gross margin reached 21% in full year 2024, up from 15.2% in the previous year. We continue to deliver strong gross margins, with Q4 reaching 23% compared to 18.6% in the fourth quarter of the year before. As a result, we achieved an absolute EBITDA of €296 million, in the reporting year compared to breakeven last year. This represents a significant margin improvement from around 0% last year to plus 4.1% in '24, which is slightly above the upper end of our guidance range as we had already indicated in our last call back in November. So looking on a quarterly basis, absolute EBITDA was €107 million, representing an EBITDA margin of 4.9% in the last quarter of the past year. Given the strong margin performance we've seen, we've also been able to generate for the first time in years, a net profit, in that case, €9 million for 2024. With that, let's move us to the balance sheet. So the overall structure remains strong and has improved compared to the previous year-end. We ended the year with a very solid cash position of over €1.1 billion and additionally, we have that cash facility of €80 million. So the total liquidity levels stood at around €1.2 billion at the end of the year. Beyond that, there's not much to add about the balance sheet. Working capital is in line with our guidance expectations, which I will talk about on the next slide and the equity ratio is at a comparable level to the previous year. So as I said, moving on to the working capital, ratio stood at minus 9.1%, in absolute numbers at minus €663 million, at the end of the year. And so we did meet our guided number of below minus 9%. The improvement in the working capital development in the last quarter was predominantly driven by high production activity levels and the strong, very strong order intake momentum in the final weeks of the year. That brings me exactly to that part of the presentation, which is the cash flow. And here to mention that the cash flow from operating activities before net working capital stood at €512 million at the end of the reporting year, demonstrating a strong year-on-year improvement in that category. With marginal changes only in the working capital, cash flow from operating activities amounted to €430 million at the end of the year and of course, clearly above the previous year's level. Cash flow from investing activities were around minus €159 million at the end of the year, slightly higher than in the previous year but lower than our initial planning. I will address this development in a few moments when we look at our investments slide. So as a result, we achieved a strong positive free cash flow of €271 million for 2024. And this very much reflects what we already communicated with our Q3 numbers in November last year. Let me highlight again that in contrast to last year, our free cash flow was driven by changes in working capital. In 2024, free cash flow did reflect the strength of the operational business. And as just indicated, we move on to the investments slide. CapEx spendings were around €42 million in the last quarter, bringing our total CapEx spendings for the full year to €153 million. That was a lower level than we had initially planned. It's mainly because of a combination of stricter monitoring and cash controls of our spendings and the combination of typical project cycles where some spendings were carried forward into the new reporting year. However, the focus of our investments in 2024 largely remain the same. Main priorities were the investments into blade and the cell production facilities and tooling for installations and transports, including some of it in the reactivating of our Iowa plant in the U.S. and the development of our U.S. tailored turbine type. From the financials, I'm going -- for the financial chapter, I'm going to the last slide now, which is the capital structure. As already indicated in our last call, we saw another step-up in our net cash level towards the year-end, now totaling €848 million and the equity ratio stood at 17.7% and on a very comparable level this as it was at the end of 2023. That brings me to one more slide for me and that is to the sustainability development in Nordex. So as we can see here on the slide, last year, we continued to progress in implementing our sustainability strategy and let me highlight a few key points there. After submitting science based targets to reduce our greenhouse gas emissions, we have now received the science based targets initiative approval for our short and long-term targets. We successfully achieved our goal of continuously reducing the frequency of lost time injury, reaching an LTIF ratio of 1.45 for full-year '24. This marks a significant reduction of over 50% from the 2021 baseline. We've now joined the UN Global Compact, underscoring our commitment to aligning our operations with universal principles on human rights, labor, environment and anticorruption. And so in line with our ESG rating road map, we are performing well in key ratings for Nordex customers, investors, and other stakeholders. And our sustainability strategy activities are ongoing and we will initiate further actions throughout this year and beyond. Finally, let me also add that we have published our first CSRD sustainability statement integrated in this year's report to further promote transparency around ESG topics. And with this, I'll hand it back to Luis.
Jose Luis Blanco: Thank you very much, Ilya, for guiding us through the financials. Let me now cover our performance against the guidance for the year. As mentioned before, we met all of our guidance parameters with a stable performance through the quarters. Revenue was at the midpoint of the guidance range as we have indicated before. EBITDA margin of 4.1% was slightly above the top end of the range and both working capital and CapEx are in line with our guidance. Moving on. Let me now set the tone for '25 and beyond. First, I would like to take the opportunity to share our views on the key demand drivers for our industry. We believe electricity demand across Europe and Americas will continue to grow for several years on the back of a growing wave of decarbonization, the surging of electricity demand from data centers, from electrification of economy, transportation and so on. In this scenario, onshore wind will play a crucial role, because it remains one of the cheapest options in many regions. It can be built more quickly than any other -- or some other alternatives. It is flexible and scalable and strengthens energy independence. Finally, according to the latest IEA report, electricity consumption is expected to increase by 4% annually between '25 and '27 and renewals, including wind power will account for about 95% of this additional growth. This highlights the critical role of wind energy will continue to play in the energy mix for the years to come. Moving on. Let's now have a detailed look at the wind demand forecasts in the regions where we operate. Industry forecasts predict the markets to grow in the short to medium term despite some noise and uncertainties in some countries. As you can see in the chart, Nordex has built a leading position in Europe and we hope to benefit from this as the European markets continue to grow on the back of Germany, France, U.K., Turkey, Eastern Europe, Nordics, Spain. In the Americas, we continue to expect decent volume on the back of our position in Canada. We expect some traction as well in the U.S. as well as in Latin American markets. In addition, we also continue to remain optimistic about markets like Australia that we want to further develop. Based on our robust order intake, our pole position in Europe, expected order intake, we believe that we can continue to capitalize on market opportunities, which gives me a good intro to the next slide, which is the guidance for '25. We expect 2025 to be another year in which we will show continuous improvements. Based on our order book, our project timelines, the expected order intake, we expect sales to range between €7.4 billion to €7.7 billion. EBITDA margin is projected to see another substantial step-up as previously anticipated, reaching between 5% and 7%. We expect working capital to remain around this year's level staying at minus 9%. CapEx spending is anticipated to be slightly higher than 2024, around €200 million. And while we do not provide a specific free cash flow guidance, we are confident that we will achieve another free cash flow positive year when considering some provisions outflows in 2025. And with this, let me come to the -- my last slide before we open for Q&A. At the beginning of my presentation, I mentioned that we are fully on track to our path to 8% EBITDA margin target. Let me explain the key factors that give us this confidence. First, legacy orders were fully completed in 2024 and hence, we do not expect any further drag on our operational margin in 2025 anymore. Second, we are improving our execution in an environment that is less affected by external shocks. Third, we continue to improve our service EBIT margins. And finally, in an operating leverage business, additional volumes are crucial to further increase margins. Let me also note here that we see enough visibility in our broader pipeline today even without a big boost from the U.S. market. This gives us sufficient confidence to reach our midterm margin target. While U.S. market offers an extra layer of security, it is not a must have to deliver our 8% EBITDA margin target. And with this, I hand over to Anja to open for Q&A.
Anja Siehler: Thank you, gentlemen, for leading us through the presentation. I would now like to ask the operator, Valentina, to open the Q&A session.
Operator: Thanks. The first question comes from John Kim from Deutsche Bank. Please go ahead.
John Kim: Hi, good afternoon everybody. Thanks for the opportunity. Three quick questions, if I may. If you -- if we go back and talk -- and think about the cautious optimism and perhaps growth in the order intake, outside of your core market of Germany, what sort of countries or what regions should we be focused on for that? I'll do them one at a time.
Jose Luis Blanco: Yes. I see -- well, Germany is obvious. We haven't seen get the booming of the German demand driven by big volume of permit, big volume of auctions and big volume of expected auctions. So this is obvious that we'll grow for sure this year, next year as well and eventually even '27. There is -- we never had such a good visibility as the one we have now for the German market. But on top of that, we see -- we expect growth in all European -- most of the European markets where we operate, where we managed to position the company as one of the leaders with 40% market share. And we see growth in Baltics. We see growth in Turkey. We expect as well despite the low electricity prices volume coming from Nordics. We see -- we expect growth in Spain, maybe this year or next year. In Mediterranean, we'll be stable U.K. and Ireland is slightly delayed, but is expected the market to grow in '26 and '27. So this talking about Europe. Outside Europe, Canada, we are optimistic about Canada and we really want to develop Australia as well as you know, our ambition to develop U.S. with our traditional market share that we used to have that, as I mentioned, as a safety net to deliver our targets.
John Kim: Okay. Very helpful. On service orders, you had some extraordinary growth in Q2, Q3, Q4 year-on-year. I'm just wondering how repeatable that is? So what sort of growth rates or shape of order intake could we expect from service this year?
Jose Luis Blanco: I think, well this year, with the visibility we have as of today, we expect another good year, potentially better year in order intake with all the disclaimers because we don't guide for order intake, but we are optimistic. It will be a slow ramp-up of the year after the final run in Q4 and slowly picking up to repeat another good year, eventually a better year.
John Kim: Great. Helpful. Last question, Clean Industrial Deal announced yesterday, what do you see as the most salient points for your business?
Jose Luis Blanco: I was very happy to see that the Clean Industrial Deal addresses the topic and addresses the topic in a quite, I would say, reasonable and fact-based. I think it's obvious that Europe cannot rely on energy sources that we don't have. So we cannot rely our future on importing gas. That first is expensive. Second is volatile. This was clearly stated that the future for Europe is homemade energy production, which means renewables. On top of that, I was very happy to see that there is a real and clear push for electrification with financial instruments supporting industries to electrify faster. I was happy to see as well initiatives to foster a power purchase agreement market development. And as always, very happy to see that policy wants to address one of the key topics or two of the key topics, which is permitting and grid. The permitting, Germany is a clear success case of what fast implementation of European policy can do to the country and to the economy and to our industry. So all-in-all, very positive initiatives that support our business, our industry, creating more demand, investing in grids, facilitating permitting and fostering more installation of renewals, especially onshore wind, to supply this electrification priority for the company. So very happy. And I think that sustains our long-term visibility that being market leader in this geography will support our midterm growth story and profitability improvement story.
John Kim: Great. Thanks very much.
Operator: The next question comes from Sebastian Growe from BNP Paribas Exane.
Sebastian Growe: Hi, I'm Sebastian here. Thanks for taking my question. First one would be also quickly on demand. Considering, I think, that Germany alone should add about 1 gigawatt in order intake incrementally in the year '25. Would it be fair to see orders up to around 9 gigawatts plus in '25? And how would that impact ASPs? And last question around Germany would be for me. If I was right to assume that a good order entry level in Germany in the year '25, would take visibility in this very market way into '27 when it comes to execution for the related deliveries?
Jose Luis Blanco: Yes. Thank you very much for the question, Sebastian. I think can we see 9 gigawatts? I mean, we don't guide order intake. Last year, we did 8.3 gigawatts, with the visibility we have today, we think we can improve this year. And that's as far as I can go with the visibility I have today. Regarding ASPs, so far, we see stability in the market. I mean, of course, it's -- many things might change over the year, but so far, so good. Regarding Germany, you nailed it. I think Germany needs to move from 3.5 gigawatt commission that very much we were market leaders with one-third of the market, needs to move from 3.5 gigawatts to 10 gigawatts, because the country is producing 14 gigawatts in permits. It's going to auction 10, 12 gigawatts this year is expected the same or similar numbers for '26. So this pipeline that first is going to triple the activity in the German market should give visibility for the company and for the market in Germany, at least three years. I mean, because the order intake of this year will be delivered mainly '26-'27. The order intake of next year is going to be delivered part in '26, '27 and even '28. So this should give sufficient long-term visibility and growth for our industry and for our company within the industry, being one of the leaders or the leader is a nice position to be.
Sebastian Growe: Yes. Couldn't agree more. Thanks for the color. Then quickly to the bridge for '24-'25 and I would love to start on the EBITDA side. So on my math, the phaseout of legacy project should add around 1 percentage point probably to the margin. There's probably another 1 percentage point tailwind likely from a normalization and provisions. So in other words, the midpoint of your 5% to 7% EBITDA margin range for this year is already covered by these two drivers. So my question then is, provided that there are no delays, the upper half should rather be the base case scenario given the better mix in projects and services, you have some tailwind from volume coming in. Am I missing anything here with that very -- bridge discussion?
Jose Luis Blanco: No. I think, no, generally provided that there is a stable execution and we don't expect disruptions in supply chain. I think there is still some expected order intake with contribution in the year to generate revenue and margin. We don't expect any issue. We expect order intake to keep coming. But that's the biggest uncertainty we have, which is more on the revenue and the margin associated with the revenue, what can be other than that, Ilya, maybe?
Ilya Hartmann: No, I think that's the perfect explanation. I would probably be more specific, Sebastian, on the two building blocks, while the first one, absence of legacy projects to those 100 basis points, yes. The decrease in provisions is probably a bit of a -- a bit less in magnitude but then yes, you have increase in service profitability again. So the building blocks are okay but I think Jose is saying also, the year is still very young and trade reliability has been very good over the past two, three years. But in the current environment and with the new U.S. administration, you have also to be a bit cautious early in the term.
Sebastian Growe: No, I appreciate that. That makes sense. And lastly, then very, very briefly if I may, just on free cash flow and the net cash position. You indicated apparently that you would expect another positive free cash flow year in '25. And you also -- think or at least, I think I heard it, you said or made a quick comment around provision-related cash outflow. So is it possible to give us a bit of a quantified idea around this related outflow? And well, I would have never thought I would ask the question at some point in time probably. But nonetheless, it might be that you're approaching €1 billion in net cash sometime this year. So what are you going to do with the net cash?
Ilya Hartmann: So let me take that free cash flow question. I think Jose Luis will also give a first take on the net cash that Sebastian just assumes already for the end of the year and we do this together. Yes. So on the free cash flow, we said it on the call, I think Jose Luis mentioned in his speech that we again believe that is, you will render a decent significant positive free cash flow. We're not guiding for that number. I haven't been doing this in the past but I think that statement we can do with confidence. And of course, very valid question, how much is that being influenced by the outflow in provisions? So remember, we've been saying this. I think I said in the November call, the campaign or the rectifications when it comes to those legacy issues we have, think of them more distributed over a period of this year and the next two, so a total of three-year outflows. Probably the first year will be a bit more than the second year and the second year a bit more than the third year. But it's going to be distributed outflow and is accounted for when we make this positive free cash flow statement. On net cash at the year-end, that could be, by the math you just did for us, could be the case. Let's see what we do. I mean also there -- and there I'll let the CEO speak. But of course, there is the moment that the company also thinks not only about the capital allocation but returning value to shareholders. For this year, we say despite all the good numbers, let's not forget that the net profit is there but it is also just "€9 million". So it is a question that we will address once that net cash that you described to us, which I believe could be the case has really happened.
Jose Luis Blanco: Nothing to complement.
Operator: The next question comes from Sean McLoughlin from HSBC. Please go ahead.
Sean McLoughlin: Thank you. Good afternoon. Should I just follow-up on Sebastian's question. Just looking at your annual report, the -- I mean, first of all, there's a lot of cash flow before net working capital in the second half of the year. They -- I see there's €361 million of the increase in other liabilities, which were included. And that's a big increase from the previous year. It's about €200-plus million higher. Could you just walk us through what that is? Is this also a recurring element? Could we see some unwind in '25? Just thinking about some of the moving parts of that free cash flow. Thank you.
Ilya Hartmann: But Sean, again, I mean, the increase we gave you and I'm not sure we're talking the same here, the increase in those parts is in line with what we said back in November. And again, the outflows regarding to those will follow the pattern that I just described, if that is what you're getting at.
Sean McLoughlin: Okay. That is clear. Then I just wanted to ask as well on the U.S., thinking about the Iowa plant, which I guess in the context of a weaker U.S. market, how should we think about, yes, kind of fixed cost coverage?
Jose Luis Blanco: That's a -- thank you for the question, Sean. As we mentioned, I mean, we were late in resuming our activities in the U.S. with the right products, with the right factory and so on. As a consequence, our exposure to the U.S. is very limited. Nonetheless, we are fully committed with the market. And despite maybe temporary uncertainties on the market, our talks with customers are positive. Most of the customers are committed to the market. They expect the market to keep being one of the biggest markets worldwide and we want to be part of that. So we plan to continue with our Iowa plants. If the market delays, yes, we will have some temporary underutilization, totally manageable in our numbers. We don't -- we haven't decided to go to the U.S. for a shorter cycle. We decided to go there because we think the country is going to require massive amount of new electricity connected and wind and solar renewables play a big role in terms of competitiveness and in terms of time to energy and we want to be part of that. Timing of that, we need to see. We need to see if the volume is going to pick up for us this year or next year but we are totally committed and we haven't changed our plans. On the safe side, I mean, the temporary slowdown in the U.S. open other opportunities for us in Canada, in other markets. So we are convinced we can deliver our guidance regardless any scenario of the U.S. and we think we can deliver our mid-term profitability even in a worst-case scenario of U.S. So U.S. is a strategic move long-term for the company, if the volume picks up, it's a fantastic safety net. And if the volume doesn't pick up shortly, we keep calm and we keep growing.
Sean McLoughlin: Understood, thank you.
Operator: The next question comes from Xin Wang from Barclays. Please go ahead.
Xin Wang: Hi, there. Thank you for taking my questions. So my first question is on the orders. So '24 order, very strong 8.3 gigawatts. But we know that Canada contributed 1 gigawatt and Turkey contributed more than 1 gigawatt. These are exceptionally high levels compared with your past average installations, which are 4 megawatts and 340 megawatts in the past nine years. Do you expect this strong momentum to sustain?
Jose Luis Blanco: We do so. We do so. Yes, we expect this not to be one-off but sustainable market volumes in those two specific geographies, yes.
Xin Wang: Great. And then maybe my second question goes to the U.S. facility. And can you maybe update us on the -- sorry, there's some echoing -- on the head count being added, how much does this additional OpEx dilute your margin in 2024? And will there be incremental hiring that could impact '25 margins?
Jose Luis Blanco: I would say in 2024, very little. I don't know the number but was very minimum in million euros -- single-digit million euros definitely. In '25 could be very low-double-digit or low-double-digits that is provided for in the guidance. So in the guidance that we communicate today to you, that is included there.
Xin Wang: Okay. Very clear. Thank you. Maybe the last one on free cash flow. So if I were to work out expectations based on your guidance, if I take midpoint, you get into €450 million EBITDA, minus €200 million CapEx, minus probably €100 million interest, €50 million tax. If I assume a neutral net working capital development and half of the exceptional outflow from provisions being settled in the year, then I end up with no free cash flow. Is that -- what's the upside to the numbers I've given just now?
Ilya Hartmann: I think I'll take that question. I think the building blocks you mentioned were very valid. I wasn't sure I got full year tax number but if you plug in €20 million there. And I think you have that building block and I think you mentioned €15 million. Maybe you're thinking on provisions, we are overestimating those outflows. So that in order of magnitude, when you see the other building blocks you just mentioned, that outflow in the year will be only relative to that. So taking that into account of the things we see, that is probably a pretty different picture and we see the cash flow significantly higher. But of course, we have the privilege of seeing the -- this planned outflows on those provisions we wouldn't like to discuss on a public call. Very solid question but I repeat myself, we believe in a very decent, very positive cash flow this year.
Xin Wang: Thanks very much.
Operator: The next question comes from Ajay Patel from Goldman Sachs. Please go ahead.
Ajay Patel: Good morning and good afternoon. Thank you for the presentation. I have three questions. Firstly, just on the capital allocation. And the comments that were said earlier, what is an acceptable level of gearing? What's sort of a conservative approach to balance sheet here? So just trying to understand what the key triggers are to thinking about how cash may be utilized in the business. And then secondly, we -- if we look at this year, improving order intake potentially, margins on the improve, it feels like, it makes me wonder why we have a medium-term target for 8%. But why can't we be more detailed in the timing arriving that now? And what needs to happen to give you the confidence to start to look that way? And then lastly, if you could just give us some assumptions that drives the bottom end and the top end in terms of maybe even qualitative but just to give us a sense of what are the key variables that drive the bottom end and the top end of your EBITDA guidance? Thank you.
Jose Luis Blanco: Thanks, Ajay. So let me take the order intake and the 8% margin. I would say the order intake was very strong but didn't translate in short-term growth because part of this order intake has a longer lead time, especially in Germany. This will translate more into activity in 2026. And growth is one of the key pillars for profitability improvement. So I think we are talking about temporary timing topic. But of course, the farther you go on time, the more risk you have about the order intake. So I think we have good visibility for growth and as a consequence for profitable profitability improvement associated with that growth. But to be more specific at this time we prefer to stay conservative and deliver and time will tell when. So we are not discussing here the if, we are discussing here the when. If this is '26 or late '26 or early '27. Regarding the big -- the third question, the building blocks. As I mentioned, the biggest building block is volume and revenue and revenue is driven by order intake and expected order intake. So if the order intake is delayed, the revenue will suffer and profitability will be slightly impacted. If things are as per the plan, we will -- we have potential to move more towards the upper end, if we have an earlier order intake which translates into more activity than expected. This is the key lever provided that execution stays stable. And regarding capital allocation, Ilya, you can comment but too early. I mean we just enter profits zone after many years of losses. I mean the equity ratio is something that doesn't concern us because it's 18%, it's stable and we have massive liquidity in the balance sheet. But too early to think about that. Ilya?
Ilya Hartmann: Yes. Still that question is very valid. But I think Jose Luis mentioned it also when he walks us through the upper end of the guidance. So capital allocation, as we see it is basically, again, first deployed to execution; second, balance sheet strength. And again, we have mentioned in the past, those 20% range. It's not black or white because it depends whether your balance sheet is prolonged, like is the case right now. Then, of course, always in the product, so in R&D and improving the product, improving the platform. And from there, we would start with opportunistic opportunities like in the new established Nordex Capital entity. But of course, the return of value to shareholders is something we will clearly discuss and come back with once we see that, as Jose Luis said, that this is a company of sustainable net profits and we clearly see that trajectory now. So that question very soon will be a real one this year. Again, we barely entered that zone.
Operator: The next question comes from Tore Fangmann from Bank of America. Please go ahead.
Tore Fangmann: Good afternoon. Thank you for taking my question. A lot has been asked, so only one more from my side. Looking at the strong growth that you have in orders, could you just explain a bit more about the capacity and the capacity needs within Europe and for the overall like European market? Are you happy with the capacity where you are at right now? Or would you need going forward to increase capacity on production to be able to really like deliver the revenues on the orders you have? Thank you.
Jose Luis Blanco: Thank you. I think with the current capacity we have, we can deliver the orders we -- the volume -- the 8 gigawatts we can deliver with the capacity we have. So we will -- within the €200 million CapEx that we are planning approximately for this year, there is investments in capacity, more than capacity creation is adapting to the new models, adapting to the new market configuration. But capacity is something that doesn't concern us short term nor we expect substantial outflows to build more capacity, although we will keep investing in supply chain. But it's within the guidance that we provided to you.
Tore Fangmann: Okay. Thank you. Understood.
Operator: The next question comes from Christian Bruns from Montega AG. Please go ahead.
Christian Bruns: Yes, hello. Good afternoon. One question is on the CapEx. You mentioned -- if I get you right, you mentioned that the CapEx will go mostly in capacity and supply chain and not primarily in innovation or R&D. Is that right? And maybe another question on the interest expense, do you see room for improvement of this number below the EBITDA level?
Jose Luis Blanco: The split of CapEx will not be so different than the 20% -- than the 24%, part of it is going to be engineering, in research and development, part is going to be in molds, part is going to be in transportation and installation tools. So it's very much CapEx associated to the recurring business of the company. So blade molds, transportation, tooling and the U.S. factory and hybrid power for the German market. Regarding interest?
Ilya Hartmann: Good question. Yes, we're always looking at opportunities to improve those, especially as the commercials of the company get better. So yes, we do think there is room for improvement on the other side of the growing business, probably we will need more of those instruments like the bonds. So in relative terms, I think financial costs, interest costs will get better in absolute terms with that growing business and growing requirements probably rather on the same level.
Christian Bruns: Okay. Thank you.
Operator: The next question comes from Constantin Hesse from Jefferies. Please go ahead.
Constantin Hesse: Hi, Jose and Ilya can you hear me?
Jose Luis Blanco: Yes, loud and clear, Constantin.
Constantin Hesse: Sorry. Great. Sorry, I was disconnected. So I ended up being all the way to the last. Look, I think most of the questions were asked. I didn't hear a few, but that's fine. Can I just drill in on a couple of them. One, just on the balance sheet, again, very quickly, Ilya. Ilya, in terms of the size of the business today, right, obviously, you guys have grown a huge amount over the last three years. And you clearly need to have a bit more cash on the balance sheet. But is there a specific level of -- a cushion of cash on balance sheet that the business requires today to -- for you to really feel comfortable in? And is there a particular number attached to that? And the second question is just really one more question on CapEx. Looking at the Delta4000 and any CapEx considerations that we should take into account medium-term? Is €200 million going to be a level that is going to be sustainable over the next two to three years? Or should we expect higher levels at some point medium term? Thanks.
Jose Luis Blanco: On the -- I will do the CapEx and then you take over the cash level in the balance sheet. So we see growth, not much short term because the volume in Germany is not kicking in short term. But definitely, we see medium-term growth. Despite the medium-term growth, we expect this growth to come with existing products and very much to a bigger extent, existing supply chain. So with the visibility we have as of today, I think that level of CapEx is a good number for '26 and '27. So I don't expect a huge jump in CapEx in the next two to three years, despite our ambition to grow with the market in Europe and especially in Germany.
Ilya Hartmann: And to the first question on the cash levels and I fully understand the repeated questions on those. And I -- my answer here would be, Sebastian -- sorry, Constantin, in that context is, we're at a comfortable level. So I'd say without being too specific, I think the company in that regard, we feel, to use your term, to be in that comfort zone. But the question is not only about a level, it's about a sustainable period. And we have been coming out, as all of you are probably aware, years of huge volatility that has subsided. And I think the question is, again, not so much the level, I think those are good and those are, repeating the words, comfort zone. But it needs to show during sustainable period on those levels. And then I think that is the moment in time when we will have the full answers on the underlying questions there.
Constantin Hesse: That makes perfect sense. And then maybe just the last one to throw in there. I think what surprised me the most, besides, obviously, the massive cash flow print was, as you said, Jose Luis, you expect another growth year for order intake, which in an environment today where sentiment is rather negative was actually quite surprising. So if we think about the margin development into '26, I mean, you printed 8.3 gigawatts. Even if you do 8.5 gigawatts or slightly higher, we're starting to talk about the levels that are supposed to be supportive for the 8% EBITDA margin target. If we look at 2026 and we assume that there is no massive issue around geopolitics or execution and you're able to deliver installations north of 7.5 gigawatts, 8 gigawatts for the year, is there anything that could potentially hold you back from not achieving the 8% next year?
Jose Luis Blanco: You name it. I agree with what you said. But the assumptions need to materialize. I think we need to plan this expected growing order intake on time. But if the assumptions that you name, it materializes, then it's possible. The outcome of that is possible, yes.
Constantin Hesse: Okay. Great. Thanks very much.
Jose Luis Blanco: Thank you.
Operator: The next question comes from William Mackie from Kepler Cheuvreux. Please go ahead.
William Mackie: Yes, good afternoon. I'm going to try and sweep up a few questions, if I might, some for modeling. But just thinking, first of all, about the pricing in the orders you've been accepting and the improvement in gross margin that you've achieved throughout the year, up now just above 20%. When you look into '25, given how you're seeing the costs move and the pricing develop from the backlog, how should we be thinking about gross margin evolution? Are we coming close to -- is the business coming close to the levels that you would expect? Or do you see much scope for that gross margin to expand through this year?
Jose Luis Blanco: Good question. I think we have less back orders in execution in '25 but we have lower volume than the capacity that we have. So the activity in the first half as in the previous year is lower than the nominal capacity, which carry a little bit underutilization that we need because we expect the company to grow in the future. So we should be able to see a slightly improvement in the gross margin in line with the improvement in EBITDA.
William Mackie: Thank you. Over the past year, the second question relates to -- I imagine it's almost characterized as cleaning up a number of outstanding arbitrations and disputes with customers but we've seen these warranties and provisions that you booked through the year. Is that all behind us now with respect to warranty or provision use in '25? Should it be a relatively clean year with respect to what you're accruing? Or are there still outstanding negotiations that may impact '25?
Jose Luis Blanco: Big majority of the issues have been settled and we have provided for in the numbers that we present to you and that Ilya commented in the provision side and the expected outflow of the provision in the next three years, big majority. It's all done? No. We still have -- very few cases outstanding that we are -- we cannot go further in explanation, but we are discussing. But commercially we're…
Ilya Hartmann: But commercially we're basically there. Yes, the question is, is that, have we reached that peak? And the answer is yes. Will the trend be downwards now? Yes. How quickly, how steep we will see, that those are, I think, is a clear for both.
William Mackie: That's great. Thank you. And maybe the last one, there's two. But the penultimate relates to service. When we think about your service business development from here and the strategy that you're executing, I guess, first of all, is this basically on your own turbines? Or are you seeking service business on third-party turbines?
Jose Luis Blanco: 100% in our own turbines.
William Mackie: Perfect. And with regard to the availability at 97%, is that where you would expect it to be? Or do you think these teams as the efficiency improve can drive that number up even further?
Jose Luis Blanco: We have room to improve medium term, yes. We think, if we keep focusing in existing platform, which we think is the case. So the platform is becoming mature, more reliable, infancy mistakes solved and behind us. So we see room to improve, but the improvements in the service business are always medium to long-term and small improvements quarter-on-quarter.
William Mackie: Thank you. And last thing maybe is just modeling. When we think about the non-allocated or consolidation costs running into '25, given that the business maybe grows a little and you've expanded some of the operational footprint geographically, how should we think about that element within the P&L?
Jose Luis Blanco: Our strategy is to contain SG&A on revenue. So yes, we need to invest in more people, more locations, more. Let's see if we can moderate the increase and grow with the business, not more than the business, at most.
William Mackie: You bet. Thanks a lot.
Jose Luis Blanco: Thank you.
Operator: Ladies and gentlemen, that was the last question. I would now like to turn the conference back over to Anja Siehler for any closing remarks.
Anja Siehler: Thank you very much. As usual, I would like to give the word back to Jose Luis to close with his final remarks.
Jose Luis Blanco: So thank you very much to all of you for your time and your questions. And finally, as always, let me outline our key takeaways for this quarter. I think first, demand drivers for onshore wind remain intact in the mid- to long-term. We achieved all 2024 commitments with steadily increasing EBITDA margins quarter-on-quarter. We secured a substantial order intake pipeline for Nordex with stability in selling price, supply chain, and cost base. We generate substantial free cash flow and we continue to deliver that consistently. And on '25, this year, we should see another step up in margins, giving us confidence in achieving our midterm margin targets. So thank you very much. Wish you a wonderful rest of the day.